Operator: Good day. Thank you for standing by. Welcome to the Dine Brands Global Third Quarter 2022 Conference Call. At this time all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. I would like to hand the call over now to Brett Levy and we apologize for all technical difficulties. Thank you. 
Brett Levy: Good morning, and welcome to Dine Brands' third quarter conference call. I'm Brett Levy, Vice President of Investor Relations and Treasury for Dine Brands Global, and I’m joined this morning by John Peyton, CEO; Vance Chang, CFO; John Cywinski, President of Applebee's; and Jay Johns, President of IHOP. Before we turn the call over to John, please remember our Safe Harbor regarding forward-looking information. During the call, management may discuss information that is forward-looking and involves known and unknown risks, uncertainties, and other factors, which may cause the actual results to be different than those expressed or implied. Please evaluate the forward-looking information in the context of these factors, which are detailed in today's press release and 10-Q filing. The forward-looking statements are as of today, and assumes no obligation to update or supplement these statements.  We may also refer to certain non-GAAP financial measures, which are described in our press release and also available on Dine Brands' Investor Relations website. While we may provide color on inter quarter trends related to volatility and uncertainty, we have returned to our traditional quarterly reporting schedule. Please note our third quarter’s results are inclusive of the company operated Applebee’s units as the transaction had not closed during the quarter. With that, I will turn the call over to John. 
John Peyton: Thanks, Brett and good morning, everyone. Thanks for joining us today. We delivered another solid quarter, thanks to the strength of our brands, our operational and marketing agility, and most importantly, our seasoned team of franchisees, our Applebee's, IHOP and Dine leaders and our team members. As you know and as you've heard from others, economic headwinds persist, particularly inflation and consumer sentiment. Despite this macro environment, our brands remained resilient. Applebee's and IHOP achieved positive comp sales of 3.8% and 1.9% respectively. Q3 was Applebee's seventh consecutive quarter of comp sales growth and the sixth for IHOP. In addition, our dining results continued to improve as Applebee's is ahead of 2019 and IHOP is continuing to gain ground. And our off premise sales remained more than two times pre-pandemic levels.  In Q3, Dine delivered adjusted EBITDA of over $63 million by focusing on what's in our control. Notably G&A was $46 million, reflecting our prudent approach to spending. Through the first three quarters of 2022, we returned $145 million to our shareholders via dividends and buybacks. And importantly, during the quarter, we saw an easing in the inflation rate in the cost of food and supplies to the restaurants. Applebee's cost of goods inflation fell from 23% during the first six months of 2022 to a run rate that looks like 13% for the back half of the year. IHOP is experiencing a more modest decline from 21% to 19%. IHOPs costs remain inflated due to the stubborn cost of eggs and the impact of the Ukraine war on grain prices and ultimately pancake mix. I've talked before about the importance of strong brands during uncertain times. During moments like these, consumers stick with brands they know and trust and love. The value proposition at both our brands is well known so right now we're amplifying our value message to reflect our guest mindset and financial situation.  Now I'll walk you through the progress we made across our strategic priorities, this includes investments in technology, development, and new sources of revenue. Our world class tech team is delivering products on time and we've more than doubled our annual tech spend since 2019. We're enhancing both the in-restaurant and out of restaurant guest experience, as well as new back of house and front of House technology. Some examples of recently completed tech include our new learning management system, new IHOP websites and app with Applebee's scheduled for next year, fly by and pay and go technology that streamlines the guest interaction and we continue the rollout of IHOP's new point of sale. Next is development, our IHOP portfolio continues to expand. The combination of traditional and new restaurant formats is driving our confidence in our long-term unit growth and Applebee's continues its path toward net openings.  Our third priority is new sources of revenue. IHOP now offers its virtual brands in over 1100 locations and we have 55 ghost kitchens across Applebee's and international. IHOP’s virtual brands are incremental to sales and target dinner and late night hours both are opportunities for the brand. We're building our virtual brand pipeline and believe there's an attractive long-term opportunity for virtual brands within our portfolio. While we expect challenges over the next few quarters, Dine is positioned well for challenging times. We're confident in our ability to navigate the near-term headwinds and deliver on our longer-term goals. We're confident in the resilience of our iconic brands. We're confident that our scale allows us to mitigate to some degree supply and price disruptions and we're confident because Dine is financially sound, as are our franchisees. With that, I'll turn the call over to Vance to review our financial performance and outlook in more detail. Good morning, Vance. 
Vance Chang: Thank you, John. As you mentioned, the third quarter continued the momentum that we built over the last year and a half and our plan is moving us in the right direction. Our third quarter total revenues were $233.2 million as franchise revenues grew 2% year-over-year due to positive comp sales growth at both brands. Company restaurant sales increased over 8% to $38.2 million compared to the same period of last year. We completed the refranchising of our company restaurants last week. Rental segment margins for the third quarter of 2022 improved by 6% to $7.2 million over last year. The favorable variance was mostly the result of franchisee’s higher retail sales, which drove higher percent rental income for the quarter. G&A for the third quarter of 2022 was $46.3 million compared to $43.7 million for the same quarter of last year as we continue our strategic growth investments in support of our brands. We generated consolidated adjusted EBITDA of $63.6 million in this quarter, slightly ahead of last year's $63.3 million quarterly results. Finally, adjusted EPS for the third quarter was $1.66, outpacing last year's dollar and $0.55. The variance was primarily due to lower weighted shares outstanding.  Turning to our cash flow statement and balance sheet. Over the first nine months of 2022, we generated cash flow from operations of $63.5 million. This compares to cash flow from operations of $145.6 million over the comparable period last year. The variance in year-to-date cash flow from operations was due to the change in working capital we saw in Q1 and discussed in the prior two quarters. This quarter also marked a continued improvement from our mid-year results as we saw our working capital position and cash conversion rates gradually returning to normalized levels. We also ended the third quarter with total unrestricted cash of $355.3 million. This compares to unrestricted cash of $263.5 million at the end of the second quarter. In mid-August, we announced the upsizing of our borrowing capacity available under our VFN and we subsequently drew down $100 million, which provides us with greater financial flexibility. Our leverage ratio moved to 3.9 times, which was below the 4.27 times last quarter.  As we discussed previously, we have the option to advance our class A-2-1 bonds right now. But our anticipated repayment date for the bonds isn't until June of 2024. In the meantime, we will continue to evaluate our best course of action and take advantage of the refinancing window if it makes sense for our shareholders in the long term. Dine remains committed to returning cash to shareholders. During the third quarter, we paid a cash dividend of $0.51 per share on September 30th. We repurchased over 1.6 million shares as of Q3 year-to-date or approximately 9% of our share count has been retired since the start of the year. The combination of paying dividends and repurchase of our shares remain a key component of our long-term capital allocation plan and support our focus on driving total shareholder value.  Next, I would like to update our financial guidance for the year. First, let me touch on development. Our IHOP development plans are now between 35 to 45 net openings for 2022 compared to our prior guidance of 50 to 65 net openings. The change is primarily due to some of our planned openings moving to 2023 given current permitting and construction delays. Applebee's development plans remain unchanged at 5 to 15 net closures for the year. Second, we're lowering our expected G&A range for the year based on our latest investment progress. Our new 2022 G&A forecast guidance is $185 million to $190 million compared to our prior guidance of $188 million to $198 million. Some of our planned G&A investments this year will be extended into 2023 given the disruptions caused by the pandemic. We will provide more guidance around 2023 on our next earnings call.  Third, we're narrowing our expected adjusted EBITDA guidance range to between $243 million to $248 million compared to our prior guidance range of $235 million to $250 million. This new guidance reflects our Q3 performance, our continued strategic G&A investments in Q4, along with impact from refranchising our company owned restaurants. Lastly, we're maintaining our CAPEX spending range of $33 million to $38 million. In summary, we're pleased with the consistent performance across our operations. Our value focused approach again yielded solid results at both brands. We remain confident in our ability to generate significant cash flows, investment growth, and return capital to shareholders over the long term. Next we'll hear from John Cywinski with color on the Applebee's brand. John. 
John C. Cywinski: Thanks, Vance and good morning, everyone. 2021 and 2022 have been terrific years for the Applebee's brand and Q3 continued this momentum with a 3.8% comp sales increase on top of last year's 12.5% increase versus Q3 of 2019. On a post-COVID basis, I believe visibility to a three year sales comp provides an important gauge as to the true health of the brand. Our three-year comp sales calculation for Q3 2022 versus Q3 2019 reflects a remarkable 16.9% growth, illustrating Applebee's vibrant and sustained performance. This also marks the best three-year sales performance throughout the history of Dine Brands. I attribute this success to a combination of drivers; first were the tactical marketing decisions we made in response to this inflationary environment. Second is the restaurant excellence we continue to see from our outstanding franchise partners. And finally, Applebee's performance reflects the benefits associated with the completion of our multiyear portfolio rationalization.  Now as I breakdown the quarter, Q3 average weekly sales remain quite strong at $53,000 per restaurant. 76% of this volume was on premise, while 24% was off premise, equally split between car side to go and delivery. From an absolute dollar perspective, weekly off premise sales were $12,800 in Q3. This off premise business is essential to our success and continues to flourish with more than $1 billion in annual system sales. In addition, we just opened our 10th drive-through pickup window as we begin a comprehensive cost benefit analysis of this very promising new initiative.  From a brand attribute perspective, Applebee's continues to lead the casual dining category and key metrics such as convenience, affordability, variety, family-friendly, and brand awareness. In fact, Applebee's unaided brand awareness attained an all-time high in Q3 as we introduced compelling value propositions under our iconic eating good in the neighborhood umbrella. On the development front we will open approximately nine new restaurants this year, featuring a combination of traditional and ghost kitchen locations. We also expect to close 15 restaurants this year, representing the fewest Applebee's closures in a decade. We then plan to return to net new unit growth in either 2023 or 2024, again a combination of traditional restaurants and ghost kitchens.  Looking forward, we anticipate eventually returning to an annual closure rate of approximately 1% for the Applebee's brand. I'm also pleased to report that existing franchisee Thrive Restaurant Group has acquired our 69 company owned restaurants in the Carolinas. Thrive is led by John Rolfe, a deeply respected second generation franchise partner and Chairman of our Franchise Business Council. John is now our second largest franchise partner with 148 restaurants and second to only Greg Flynn with 439 Applebee's. With this transaction, Applebee's returns to a 100% franchised business model with 31 partners owning all 15,171 restaurants in the U.S. Now as we do annually, we recently gathered the entire Applebee's system to align around our 2023 business plan and to recognize our best performers. I was honored to celebrate Mark Schostak as Applebee's franchisee of the year at this event. Mark is a role model operator and partner with 62 restaurants in the State of Michigan.  In closing, perhaps nothing speaks more to the health and relevance of the Applebee's brand than the escalation of our average unit volume from $2.2 million when this team was first assembled in 2017 to where we are today in Q3 at $2750,000. For Black Box this 25% increase is more than double the casual dining categories, 10% increase excluding Applebee's over the same five-year timeframe. Even in this challenged environment, we remain aligned with our franchise partners as to how extraordinarily well positioned the Applebee's brand is for sustained growth as we look forward to 2023. I'd now like to turn the call over to Jay for an overview of the IHOP business. 
A - Jay D. Johns: Thanks, John and good morning. Our brand continues to become more relevant for more occasions with our menu and marketing as well as on the innovation and technology fronts. We posted a 1.9% comparable store sales gain in Q3 marking our sixth consecutive positive quarterly result. Our restaurants generated average weekly sales of $36,800 compared with last year's $36,200. Off premise per restaurant weekly sales were approximately $7700 were modestly below the $8300 and $8900 over the prior two quarters. Under to go business is still over 20% of sales with delivery accounting for nearly 13% and traditional takeout generating approximately 8% of sales. The off premise business is also supported by our two virtual brands with over 1100 restaurants offering grilled cheese and Super Mega Dilla. We opened nine new restaurants in the quarter and our franchisees continue to work towards getting all of their restaurants back to full standard operating hours as the portfolio increased restaurants operating either 24/7 or 24/2. In Q3, an additional 4% of our restaurants -- offering overnight hours.  Our marketing and menu initiatives are resonating with guests. Last quarter we successfully partnered with the Minions on a well-received promotion that drove results. We offered a value proposition through a widely accepted $5 two by two by two platform and most recently we're excited about the launch of our new thick and fluffy French toast offerings. We're also enthusiastic about our strategic and technological efforts. We've introduced our pay and go options for our guests to close out checks through their own devices. Our point in sale platform rollout continues to expand now in approximately 240 restaurants. And the growth of our International Bank of Pancakes loyalty program has exceeded our full year target already. We ended the quarter and its first six months with 3.3 million signups.  Touching briefly on development, we remain bullish on the brand's long-term prospects despite having to deal with near-term supply chain and permit approval timing challenges. We expect to add 50 plus gross new restaurants in 2022. That represents one of the strongest years in our brand's history. The change in our current year outlook is more of a timing issue which weighs on our development prospects. We expect to see several of our franchisees playing Q4 openings move into 2023. To wrap up, IHOP brings joy to people's lives, which is fundamental to who we are and what we do. We remain excited about the progress we've made and the foundation we've laid for our continued growth and future prospects. I'll now turn the call back over to John Peyton. 
John Peyton: Hey, thanks Jay, and thanks to those of you on the line for your patience with our late start this morning and thanks to Vance, John and Jay and their teams for all their hard work and great results in Q3. And a big thank you to our franchisees, their restaurant teams for their tremendous efforts and focus on our guests. We know that there is uncertainty right now and that's why we're working hard to be there for our guests, providing great food and experiences when they want and need us most. And with that, Lisa, please open up the call for questions. 
Operator: Thank you. One moment while we compile our Q&A roster. Our first question will be coming from Eric Gonzalez with KeyBanc. Your line is open. 
Eric Gonzalez: Hey, thanks for the question and good morning. My question is on balance sheet, you have a big chunk of your securitization coming due in about 18 months or so, so can you talk about your ability to refinance that maturity and where you think you might be able to get a deal done today in terms of the current interest rate? And then given the potential increase in interest expense, can you still continue to buy back stock, more importantly, do you think it's the right move to shareholders to continue this the current level of buybacks versus perhaps paying down the debt such that it might limit the amount that you have to borrow? Thanks. 
John Peyton: Thanks Eric. Vance will take that. 
Vance Chang: Good morning, Eric. So we actually don't have any current maturities due and there's no need to refinance right now. I mean you know the charcoal called window that we have was open up earlier this summer, but we really only need to take advantage of it to make sense. So we're monitoring the market and then currently the market is pretty volatile. So we're taking into account interest rate movements and capital markets environments but the goal is always to maintain that financial flexibility and the liquidity that our current capital structure provides. So, we won't -- we may refinance if the market conditions improve but right now it's pretty choppy. And on buybacks, capital return has always been one of our top priorities in terms of capital allocation. I mean it's evident by the fact that we've done over $100 million of buybacks this year and we'll continue to be opportunistic with repurchases, but we need to balance that with net leverage levels, especially given today's environment. 
Eric Gonzalez: Okay, fair enough. And maybe if I can ask about unit growth, you have some targets out there with regards to growth over the next four to five years which if I remember correctly it stacks up to about 15 or 150 to 200 units per year. So my question is, are you still confident in this outlook given the higher rate environment and how are your franchisees particularly IHOP system reacting to the higher rates since you are still dealing with the high teens inflation? And then related to that you lower the unit growth outlook for IHOP this year due to permitting delays, does that mean in 2023 you'll see outsized growth as project timelines normalize, do you think this pushes out the pipeline such that we see the typical 50 or so IHOPs next year? 
Jay D. Johns: Yeah, this is Jay. I'll probably take that one since most of it was an IHOP related question. Yeah, our growth this year has been strong. I mean we're going to open over 50 new restaurants this year which is very good growth for us. We did have quite a few issues especially a lot of our pipeline was back loaded this year and we started getting into some permitting issues that seemed to be persisting post COVID and different municipalities equipment issues. So that's caused some of our pipeline that was going to open in Q4 to slide into next year. So that will help that as we move forward. The environment obviously is a little bit difficult, but so far the franchisees, you know we've got a lot of excitement. We just had our global conference and had a tremendous amount of franchisees talking to us about new restaurant openings and I think they are still bullish on opening a lot of restaurants of the IHOP brand, but the economics have changed. So we're seeing a tremendous amount of our openings now being convergence. There's other restaurants that close down and it's actually providing an opportunity for people to be able to go out and take advantage of that at this particular time. So I think the pipeline is still looking very good. And like I said, a lot of those will move into next year, which will help us out in future years. 
John Peyton: And John, why don't you address Applebee's? 
John C. Cywinski: Hey Eric, we're confident in our strategic plan for Applebee's. As you know we're rebuilding our pipeline, anticipate and this is great news returning to net new unit growth combination of traditional and ghost in either 2023 or 2024 and be optimistic and not concerned about any of the kind of near-term challenges that may be delaying that timeline a little bit. 
Eric Gonzalez: Fair enough. Thanks. 
Operator: Thank you. One moment while we prepare for our next question. And our next question is coming from Jake Bartlett of Truist. Your line is open. 
Jake Bartlett: Great. Thanks for taking the question. My first one was on the guidance for -- on the implied guidance in the fourth quarter for EBITDA. It's lowering and a step down versus the other quarters of the year and I just wanted to kind of understand better the reasons for that or the drivers for that, I see that G&A has guided to be up in the quarter so that's one aspect. But you mentioned in the release the impact from the refranchising. So, maybe as part of that the answer if you could talk about what the near-term impact of refranchising the stores is and maybe what the impact would be in 2023, whether it's accretive including some reductions in G&A related to those stores? Thank you. 
John Peyton: Vance, can you take that. 
Vance Chang: Of course. Hey Jake. So, we got it on full year for 2022, but for this quarter effectively we're guiding on Q4 and it is -- it does reflect our current performance, our G&A spending trends and along with the impact from the refranchising of our company owned restaurants as you said. Most of the trend that you're seeing in Q4 is driven by G&A and a reminder is that our Q4 G&A is usually little higher than other quarters. But this Q4 particularly also includes catchup investment from earlier in the year that we just couldn't do with open positions, the projects, etcetera. And so, having said that though I think Q4 G&A does not represent run rate. So -- and then we will continue to make certain investments in people, research, technology, product development in 2023, but we'll have more details on 2023 guidance in the next quarter. But our investments as we said in the past they're really designed to drive and support long-term growth and we're really pleased with the progress that we're seeing so far. 
Jake Bartlett: And the impact of the refranchising it was mentioned in the release that that could be impacting EBITDA. So, I look at your company margins I would think that there would be almost a one for one to a royalty rate. So if you could just help us understand the impact on the financials in the fourth quarter and 2023 from selling those stores and then also what kind of G&A is related, I think in the past maybe you've talked about 5 million or 6 million related to company owned stores, is that right, should we expect G&A to go down by that amount, any help there would be helpful? 
Vance Chang: So our 2022 G&A anti-product [ph] guidance reflects the refranchising transaction that was disclosed -- that was closed last week. On 2023 we will provide more color on 2023 next year, but I'm just reminding everyone that the 69 restaurants represents roughly 2% of our portfolio. We don't really anticipate a material change for our business fundamentals and historically we haven't really discussed companies specific -- company owned restaurants specifically but our G&A. 
Jake Bartlett: Okay. So, is there a G&A that -- okay, so can you say whether it's accretive or dilutive to refranchise those stores? 
Vance Chang: There is G&A that [indiscernible] and we will have more discussion on 2023 guidance when we're done with our budgeting process for next year and we'll provide more color in the next quarter. There's G&A that will be taken out. 
Jake Bartlett: Okay, and then there was no comment I believe about the current trends. We've seen on same store sales in the fourth quarter and we've seen an improvement on a three-year basis throughout the year here. Is there any reason to think that that wouldn't continue just in terms of the underlying momentum in the business, any comments there would be helpful? 
John Peyton: Yeah. Why don't we have Jay and John comment on that. 
John C. Cywinski: Yeah Jake, this is John. We love our plan with our franchisees. We're very confident in not only the plan that we've aligned upon, but our flexibility to change as needed when you have a very strong momentum as a brand and our confidence quite candidly couldn't be any higher than it's been over the past five years. 
Jay D. Johns: I think on the IHOP side also we feel very good about our progress we've made. Coming back after the pandemic we had six straight quarters now being up in sales and we seem to be hitting our stride right now. We have a great pipeline that's of initiatives that we have planned out all the way through next year. So we're feeling very good about where we're at and what we're doing with our menu or marketing or loyalty program. We've got a lot of things going for us right now that we don't see any reason why that would change. 
Jake Bartlett: Great. I appreciate it. 
John Peyton: Thank you. 
Operator: Thank you. One moment while we prepare for our next question. We have our next question is coming from Jeffrey Bernstein of Barclays. Your line is open. 
Jeffrey Bernstein: Great. Thank you very much. Two questions. The first one just following up on the consumer environment, it doesn't sound like you've seen any slowdown in trend either through the third quarter or into the fourth quarter. Just want to make sure that that's accurate and was wondering what initiatives you might implement if trends were to slow on your end or whether perhaps you're already seeing increased marketing or promotion or any competitors getting more aggressive just trying to size up the landscape in terms of potential response as well as the competition? And then I had one follow-up. 
John Peyton: Sure, both questions for John and Jay, again.
John C. Cywinski: Hey, Jeff this is John. On the Applebee's front, we were very thoughtful in this environment, it's a challenging environment, we're thankful for the momentum that we have. One of the things that's happened here over the past year or so, post COVID is we returned to having at least 12 perhaps even 18 months lead time in our marketing plans and our tactical initiatives, with contingencies and flexibility built in. So we have a portfolio of propositions that we can market and deploy as needed, should the environment become tougher. We've got those programs sitting on the shelf. So -- and again, we only have 31 franchise partners. We meet frequently and our ability to change course, on short notice, in reaction or response to the marketplace, is pretty easy for us. So great momentum, they're very thoughtful in a challenged environment as well.
Jay D. Johns: Hey Jeff, this is Jay at IHOP. We feel really good about our ability to make adjustments as we need to, the restaurant business historically is, when things get tough, your competitors start to do more discounting, etc. We try really hard not to react to what everybody else does. We have a plan we're trying to follow and we try to make value part of our strategy all the time. There's always a need for value for some of your guests. And we need to have the ability for guests to access that. We've got our IHOPPY Hour program, we will use limited time offers and we just did a $5 two by two by two promotion. We also just rolled out our new Thick ‘N Fluffy French Toast, which is a full price proposition that is a much better improved quality compared to what we had previously on the menu. And we truly believe there's two sides to what people crave, there's the indulgent sweet side, there's also the more savory side. We roll that new dinner entrees, we roll that new better for you items, we're really executing our plan, and we're confident that we're doing that plan, we're going to be in great shape. And there's value incorporated in that plan as well.
Jeffrey Bernstein: Understood. And my follow up, just because it's amazing and we've gone halfway through this call without much talk about menu pricing or inflation so hoping to just touch on -- well, you mentioned the commodity basket seemingly easing a little bit in the back half of the year, I'm wondering if you could maybe talk directionally where you think commodities and labor are headed. I know you have not given formal guidance for next year, but how you think about it from a franchisees perspective, and maybe counter that with menu pricing, kind of -- how much pricing was in the menu for each of the brands in the third quarter and what are your suggestions, the franchisees in coming quarters if sales really hold up and inflation were to ease just trying to get a sense of potential margin outlook on the franchisee side? Thank you. 
John Peyton: Jay and John, you want to take that again?
John C. Cywinski: Sure, Jeff. I mean -- this is John. On the Applebee’s front, I continue to be impressed with our franchisees. They are thoughtful, strategic, savvy. They're quite a sophisticated group. They understand this delicate balance between covering the margins to the extent possible and maintaining affordability with the leadership and Applebee’s does lead the category in affordability. So it's important to us, they've been conservative relatively speaking, and strategic in their pricing. And they've been from our discussions with them taking a long term view as to market share opportunity in a tough environment. And I applaud them for that. With that said, they will do what's necessary to protect their margins in a tough environment. They've been conservative to date and I expect that to continue.
Jay D. Johns: And I think on the IHOP side, no difference really. They're dealing with the same kind of pressures. Inflation has been a little stubborn this year. We do think that as we get into next year, potentially that the inflation rates are going to start to decline. That doesn't mean prices are going to drop but I think the deceleration of inflation is going to take place at some point here and you see that a little bit this year, but back half year is still pretty high. Now our menus are already priced for the rest of the year, we don't have another menu until next year. So I don't see them changing anything right at the moment. Until we get into the Spring, I think they've done whatever they're going to do, as far as their decisions on price, but food costs were probably normalized. Labor probably never comes back down to the levels that was previously. But, they have incorporated price to help overcome some of that. And that's a little bit more of a regional issue. There's certain areas where the softening of the economy has actually opened up staffing possibilities and the inflation rate on labor has slowed down as well.  There's other markets where it's still tough out there. And if you've got an unemployment rate of 2% in your city, it gets tougher. But that becomes a little more localized. The prices we used are very smart about how to take price as needed but do it in such a way where you don't run off your guests days, because they can't afford to come anymore. So they're being very careful about it, and trying to be as strategic as possible of how they take price, where they take price. And I think as inflation rates come down price increases will probably decelerate as well. So I think that when inflation goes back to a more normalized rate, I think your price taking of the franchisees will do likewise.
Jeffrey Bernstein: Is there any quantification on that price for the third or fourth quarter for either brand?
John C. Cywinski: Jeff, on the Applebee's front, think of it as 7% quarter-over-quarter 2022 over 2021. And I think we've shared kind of color in previous quarters as well. So I look at that as conservative in this environment. And to Jay's point, I do expect should the commodity cost inflationary environment improve which we do expect it to do over time, that our franchisees will revert back to at some point more normalized 2% to 3% annual price increase. That's what historically has proven to be the case.
Jay D. Johns: Again I think IHOP it is more likely closer to 11% is the price they have taken year-over-year, Q3 to Q3. Now again, some of those roll off as you print the menus your quarters change. But when we just look at Q3 versus Q3 that is little over 1%.
John Peyton: Hey Jeff, it's John Peyton, just some context there, the 7% and 11% in price increases for the two brands is less than half of the increase in cost of goods into the restaurants. So it does reflect the franchisees really balancing their margins with what they think their guests can tolerate. And what's also interesting is it gets pushed back on price increasing. Increases has been surprisingly limited. While they're managing the total cost of their check, you can see from our same store sales growth, that consumers are tolerating the price increases and have come really to expect it given the economy overall. 
Jeffrey Bernstein: Thank you.
Operator: Thank you. One moment while we prepare for the next question. Our next question is coming from Nick Setyan of Wedbush. Go ahead, please.
Nick Setyan: Thank you. I just wanted to ask about value in this environment, do you really feel like an aggressive value stance is necessary, particularly as gas prices have come down from early Q3 peaks? And then, in general, I guess, how has the perception of value evolved just given the inflationary headwinds out there? 
John Peyton: Jay and John you want to go ahead again. 
John C. Cywinski: Yeah, this is John C. Nick. Good to chat with you. Your question is, do I think value is necessary. Applebee's is fundamentally a value brand, we lead on affordability, we will obviously see our franchisees protecting their margins. But I do think value remains important. We're at the lower end of the average check spectrum. In casual dining, that's important. Our guests are challenged. Quite obviously, in this environment in terms of discretionary income there lots of ways to convey value. We're big believers in restaurant excellence and our franchisees have truly been exceptional at earning the trust of not only their guests, but their team numbers throughout COVID. I think that's evident in our results. And there are lots of ways to deliver value -- there is added value, there's co-branding, there's the use of borrowed equity. We like conveying through our advertising emotional connection with our guests. I believe we can go to the neighborhood is perhaps more relevant than it's ever been in this environment. So yes, I believe value is important, but there are a multitude of ways tactically to deliver upon that value proposition.
Jay D. Johns: Hey, Nick this is Jay at IHOP. I think that to an extent value is always necessary. It's a little bit part of our overall strategy that there are certain guests you have to get more occasions from them. Value is always important. And you want to have value on your menu so people call it the barbell strategy. In more expensive items, you have items that are more approachable and affordable for guests. But not all guests are the same. We have guests that are higher income scale that they're less priced into Vegas to order favorite item, they don't care what it costs. There are other people though, that they can't do that. They have to manage their pocketbook and when gas prices go up, and things get more expensive, they watch their dollars closely. And so I think there's a need for value all the time. And as John said very well, there's different kinds of value. There's abundant value, that doesn't necessarily mean it is cheap products. You can get a lot of food for your money. There's five point value, there's limited time offer values, our loyalty program opens up the possibility for one to one personal value on what they care about, and how to motivate extra visits from those individuals. So yeah, the economy, it makes it front and center. But I think value is always there. It's just how you pull the levers, when and where and how to keep the flow of gas company.
John C. Cywinski: Hey, Nick, is John C. my final point on this one and I firmly believe this, as we think about the past couple of years brands with meaningful scale, which we have in brands that have strong culture within their franchise communities, and entities, and brands that have earned the trust of their guests are going to thrive and perhaps navigate this inflationary environment better than others who don't have scale, and don't have strong culture. We love our position. 
Nick Setyan: Is there a way to maybe quantify like value mix as a percentage of overall menu or sales and you know, now versus say pre COVID for both brands? 
John C. Cywinski: Well, Nick this is John C., I would not equate value with tactical discounting. I think my view on that is sometimes lazy or desperate brands resort to tactical discounting, out of necessity. So we've always had kind of a core value proposition embedded in what we do, and how we market and that will continue moving forward.
Nick Setyan: Okay, thank you very much. 
John Peyton: Thank you.
Operator: Thank you. One moment while we prepare for the next question. Our next question is coming from Brian Mullan of Deutsche Bank. Please go ahead. Your line is open. 
Brian Mullan: Just a question on IHOP specific to the loyalty program. I know from the prepared remarks, signups are going well but you speak to one or two elements that maybe have you most encouraged thus far from a consumer response perspective, any early learnings there? And then just kind of related to that, it seems like the dining room traffic at IHOP is still down quite a bit relative to pre-COVID. As you seek to recapture that from here, can you maybe put the loyalty program into context in terms of how important of a tool it is as compared to maybe other items like operating our restoration, or older guests getting more comfortable around dining out or just anything you'd want to play around those dining room traffic? Thanks.
Jay D. Johns: Yeah, this is Jay. Look, I think dining room traffic keeps coming back. We see it improving, increasing, and obviously that's something we're trying to do. Part of that is hours of operation. So that keeps improving for us as well. As you heard in my prepared remarks, we had about 4% more of our restaurants go to overnight hours and as franchisees either way to that being a profitable business venture for them, more and more are going to do that. In some locations that staffing and having access to people, to be able to staff it overnight. In some, it may be the cost of doing business overnight, depending on cost of that staff and inflation of food, etc. Our virtual brands are really helping that because a lot of those sales happen in the late night hours. So that gives a little extra incentive to get your IHOP back open again as well. So some of this is hours of operation. Some of this is the latents, people still maybe not quite as comfortable coming out. It's a little bit of everything. I can't quantify and say exactly what is what but we see the dining room business coming back, it is still a critically important piece of our business. It is the core of the number one sales driver we have. So obviously we're working on that. And I think that this relevancy in the food that I've talked about before also becomes important in that as how do you have better items for people that want to eat healthier? How do you have items that are more relevant to people for dinner, instead of just eating breakfast? So we're addressing all of those things to help our brand become more relevant for more occasions throughout the entire day as we look at that. And then refresh me what was the very first part of your question before you got there, you asked about one other thing.
Brian Mullan: Sorry, that was kind of a two parter. Just -- 
Jay D. Johns: Loyalty program, right? 
Brian Mullan: Yep. The signups are going well but how about early learnings on consumer response?
Jay D. Johns: Yeah, the signups are going fantastic. And I think that is the first indicator of people, their engagement, they love the brand, they want to join. The signups are going way faster than what we even thought they would do. We thought for the entire year, our goal was 2.5 million people. And we're 3.3 million by the end of Q3 with a whole another quarter to go. So that's going really well. We're not going to get into a loyalty discussion on all the different metrics every quarter. It will probably do something maybe on an annual basis. When we get to the end of the year we'll give you some more details about some other statistics and data on that. But we'll keep you informed on that as we move forward. But we're very happy with where we're at right now and how it's progressing. It's just too early to start sharing those details yet. We'd like to have a little more history behind us. 
Brian Mullan: Thank you.
Operator: Thank you, I will prepare for our next question. Our next question is coming from Brian Vaccaro of Raymond James. Your line is open.
Brian Vaccaro: Good morning, and thanks for taking my questions. John C., I wanted to start on the Applebee's sales strength and I think I heard you say 7% pricing year-on-year. I think that's pretty similar to Q2, suggesting the sequential improvement you're seeing is traffic related. I guess the first, can you just confirm that that's correct but the question would also be could you elaborate on what's driving this sequential acceleration, any data points you could share suggesting that you're benefiting from trade down or a way to ballpark the benefit of this shift to value and anything worth noting from day part or weekday versus weekend perspective?
John C. Cywinski: Well sure, Brian, that's a lot embedded in that question. Good to hear from you. Let's tackle kind of the health of the business and what I attribute that to. First and foremost, restaurant excellence. We -- General Manager retention and restaurant level excellence, one guest at a time, has been a hallmark of this brand throughout the pandemic and throughout this recessionary environment. In addition to that, and I mentioned it in my remarks, we concluded a while ago our portfolio rationalization and ended up closing over five years, just about 300 restaurants, that's complete. Our portfolio of both restaurants and franchisees is rock solid right now and that's evidenced in the results. Quite frankly, you would have seen that earlier had it not been for the pandemic. And then I take a combination of off premise execution, great marketing, a reference speaking good in the neighborhood, we like to connect emotionally, we love music. And we like to make our guests smile and make them hungry. And we're a brand that's not only affordable, we win on four attributes, and this is what I would attribute our not only our success, but why we're so confident moving forward. We win on affordability, we win on convenience, we win on variety, therefore no veto vote. And we're absolutely dominating on brand awareness. You add those four up, and you have sustained growth for a very relevant brand. Brand is better position than it has been, I would argue, and this is my second stint with Applebee's in its entire history. So I won't quantify or attempt to quantify anything for you other than to say those are the reasons driving the results that you see, and that you've seen over the past few years for the brand.
Brian Vaccaro: Alright, thank you. And on the commodity front, what was -- at Applebee's what was year-on-year inflation in the third quarter, could you level set sort of where you see the fourth quarter shaking out, I am just trying to get a sense of I know you gave some statistics on first half versus second half, but trying to get a better understanding of the degree to which you're seeing improvement? And then I know that things can turn on a dime these days, hour by hour. But everything you know today is there a reasonable range that you would expect on food inflation that you could offer into 2023, mid-single-digits, etc., something in the ballpark?
Vance Chang: Hey, Brian, I could let you know, in Q3 for Applebee's inflation that we experienced was about 17% for IHOP it was about 21%. And so if you think about first half versus second half inflation, first half was I think, for both brands were in the low 20s. And then in the second half that inflation for Applebee's is in the low teens and for IHOP it's close to 20%, just because they have different commodity baskets. But, as John mentioned, as both John's mentioned earlier, I think if you index that to July for the next 18 months we're seeing that cost starting to go down. And so even though there's still year-over-year growth inflation, it is not as steep as we saw in the first half and that trend will likely continue in 2023.
Brian Vaccaro: Alright, thank you for that. And I also had a question on IHOP for Jay, could you just give some perspective on the cadence you saw through the quarter. Trying to get a sense as to what degree the LTO, the two by two by two in September might have driven out performance in the month and just curious if there's anything worth noting from the day par weekend versus weekday, etc., anything worth noting there?
Jay D. Johns: Hey, Brian, it's Jay. No, as far as the quarter, right about [Technical Difficulty] full time we get a little bit of softness. And then for the whole quarter though, it kind of evens itself out. That’s pretty typical for us. We were real pleased with the promotion overall. I think it is just what we want to do. We keep talking about value and does value work and value does work. It does drive traffic. You need big profitable traffic for our franchisees and that's always the thing we're looking to do is, you don't just want to get traffic coming in, it doesn't help our franchisees. The nice thing is when you do a buying promotion like that though, frankly, most people don't buy just that promotion. It gets people in the door and what they do is they decide when they get there one person has that promotion item, but the other three people they bring with them do not. They do their regular behavior, it ends up being good for us overall doing that. So overall, we were very pleased with the quarter and as long as gas prices stay more moderated and things don't get much worse in the economy, I think we're in very good shape. 
Brian Vaccaro: Okay, and then last one for me. In the third quarter I noticed there was this other EBITDA add back of around $2.5 million. Could you provide just more color on what that was, I know there's usually add backs that you identify but there was this other bucket, any color there will be great. Thank you. 
Vance Chang: Yeah, it was around professional services for work that we're doing that's not related to the run rate of the business.
Brian Vaccaro: Okay, so that was embedded in G&A then I would assume? 
Vance Chang: That's right. 
Brian Vaccaro: Great, I'll pass it on. Thank you.
John Peyton: Thanks, Brian.
Operator: Thank you. And for our final question that will be coming from Andrew Wolf of CL King. Your line is open. 
Andrew Wolf: Thank you. Great. Thank you. I wanted to ask a follow up on the lower commodity costs that you are expecting and somewhat experiencing now at Applebee's. Just, the company's sort of financial and economic model as I understand it, the direct exposure for the company is only through or mainly through the mixes that are sold out of IHOP. But is there anything else, is there any exposure through the co-op or any other way that commodity inflation directly impacts the company's P&L?
John Peyton: Hey, Andrew, it's John. Thanks for joining the call. We're glad you're with us. And Vance can take that.
Vance Chang: Hey, Andrew, good to talk to you. So it's primarily through the dry mix cost as you mentioned. Now, when we had the company owned restaurants it was close to our P&L as well. But now that refranchising has closed, it won't really impact us directly. And now having said that, John and Jay both talked about how it impacts our franchisees. So it does, we do care about it. And it's something that we monitor very closely, because we care about the financial health of our franchisees.
Andrew Wolf: Great, just wanted to double check that. And just on the G&A spend, maybe I can ask sort of a basic question. Could you kind of quantify how much of the planned spend kind of slid out of either the first three quarters or out of the third quarter into the fourth quarter, just help us understand, the step down in EBITDA and also, I guess, to some extent, the step up in the third quarter?
Vance Chang: Yeah, it's hard to quantify how much got flipped because it's kind of a theoretical question. But, I think I'll reiterate what I said before, which is if you look -- go back to our quarterly G&A numbers for the past four or five years, Q4 is traditionally a little higher than other quarters. There was some true up of growth that we do, just as normal operating procedures. But this quarter, it does include new hires that we wanted to hire earlier in the year that we couldn't do and research projects and development projects that we wanted to do early in the year. But that got pushed back because of Omicron and some of those macro impacts. But it's hard to quantify how much of that was pushed back into Q4, but our guidance reflects that though. Does that help Andrew? 
John Peyton: Have we lost Andrew? Operator?
Operator: It seems like Andrew has gone back. Yeah, he has dropped off the call.
John Peyton: Okay, so I think that concludes the queue. Is that right, Lisa?
Operator: Yes, there's no more participants in the queue. I would like to turn the call back over to John Peyton for closing remarks. 
John Peyton: Great. Well, since we're 12 minutes over we appreciate you all sticking with us. And I'll just say thank you. We're proud of our results [Technical Difficulty]. 
Operator: Thank you all for participating in the call. This concludes today's conference. You may all disconnect.